Operator: Welcome to the Trex Company Second Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we'll hold a Q&A session. As a reminder, this conference is being recorded, August 3, 2015. I would now like to turn the conference over to Harriet Fried of LHA. Please go ahead ma'am.
Harriet Fried - Senior Vice President, Lippert/Heilshorn & Associates, Inc.: Thank you everyone, for joining us today. With us on the call are Ron Kaplan, Chairman, President and Chief Executive Officer; and Jim Cline, Senior Vice President and Chief Financial Officer. Joining Ron and Jim are Bryan Fairbanks, Senior Director, Supply Chain, and Executive Director, International Business Development; Brad McDonald, Senior Director and Controller; Brian Bertaux, Senior Director of Financial Planning and Analysis; and Bill Gupp, Senior Vice President, General Counsel and Secretary. The company issued a press release this morning containing financial results for the second quarter of 2015. This release is available on the company's website as well as on various financial websites. The call is also being webcast on the Investor Relations page of the company's website where it will be available for 30 days. I'd now like to turn the call over to Bill Gupp. Bill?
William R. Gupp - Senior Vice President, General Counsel and Secretary: Thank you Harriet. Before we begin, let me remind everyone that statements on this call regarding the company's expected future performance and condition constitute forward-looking statements within the meaning of Federal Securities law. These statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. For a discussion of such risks and uncertainties, please see our most recent Form 10-K and Form 10-Qs as well as our 1933 and other 1934 Act filings with the SEC. The company expressly disclaims any obligation to update or revise publicly any forward-looking statements, whether as a result of new information, future events or otherwise. With that introduction, I'll turn the call over to Ron Kaplan.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Thank you Bill and good morning everyone. We announced another record-setting financial performance this morning. For the second quarter, we achieved a 13% increase in revenue and a 26% increase in EPS. Our Q2 and first half record results show that Trex continues to build on strong momentum. This continued momentum comes across several important areas, an unwavering focus on increasing our market share, a marketing campaign that continues to expand our brand reach, the reception of endless industry awards. For example, we just received the Platinum Award from Ocean Home magazine in the deck and flooring category, a first for Trex. Next, we have quietly assembled a team of over two dozen engineers, whose mission is to advance our technical lead in manufacturing efficiency and product innovations. This team is developing the next generation of composite decking and will propel us further into new industries. We are pleased with the progress of our R&D initiatives. This has been and will continue to be a value-added initiative. In our specialty materials area, i.e. pellets, Q2 sales fully met our expectations. Customers and sales are experiencing a robust growth. Three additional product production lines have now been placed in operation. This is but the first step in monetizing our recycling and extrusion expertise. Finally, we anticipate strong free cash flow generation. This will compel us to evaluate our capital structure on a regular basis. Our third quarter revenue guidance is $96 million. Remember, the harsh 2014 winter which caused a delay to the deck building season, shifted sales to the third quarter. In fact, in 2014's third quarter, it was 29% higher than the previous year. So we have a tough comp. Regardless, our trailing 12-month sales guidance through the end of Q3 2015 is $428 million or 12% above the comparable prior period. We are on pace with our market share advancement initiatives. And with that, I'll hand it over to Jim.
James E. Cline - Senior Vice President and Chief Financial Officer: Thank you Ron. Good morning. First, I'd like to review our second quarter financial results. Sales for the second quarter were a record $137 million, reflecting a 13% increase compared to 2014. Sales volume increased 8%. Gross margin was 38.4% in the second quarter of 2015, a 120-basis point increase compared to the prior year. The increase in gross margin was driven by ongoing cost reduction initiatives. The $15 million year-over-year increase in revenue resulted in $8 million of increased gross profit and incremental gross margin was 48%. SG&A for the second quarter was $22 million compared to $20 million in 2014. The increase was primarily related to incentive compensation. Included in the results was $900,000 of expenses related to the recently announced management changes and contract termination fees related to our exit from the PVC trim market. The company posted a record net income of $19 million or $0.58 per share in the second quarter of 2015 compared to net income of $15 million or $0.46 per share in the 2014 quarter. The 2015 second quarter tax rate of 37.3% was comparable to 2014. Sales for the first six months of 2015 were a record $258 million, reflecting a 16% increase compared to 2014. Increased sales volume represented 12% of total sales increase in sales indicating that our continued market share advancement initiatives are working effectively. Gross margin was 39.1% in the first six months of 2015, a 164-basis point increase compared to the prior year. The key drivers of the increase in year-over-year gross margin were consistent with the second quarter. The $36 million year-over-year increase in revenue resulted in an $18 million increase in gross profit. Incremental gross margin for the first six months was 49%. SG&A for the first six months was $43 million compared to $39 million in 2014. The increase was driven by higher personnel expenses and branding. The company posted a record net income of $36 million or $1.13 per share for the first six months of 2015, compared to net income of $27 million or $0.82 per share for the first six months of 2014. The effective tax rate at 36.8% for 2015 was nearly 1% lower than the 2014 period. For the first six months of 2015, we consumed $42 million of free cash compared to free cash flow generation of $7 million in 2014. The variance was due mainly to timing of cash receipts and a $9 million increase in capital expenditures. The increase in capital expenditure is primarily related to our investment in our specialty materials business and land acquisition adjacent to our Winchester manufacturing facility to support our future growth initiatives. We expect a positive full-year free cash flow. Finally, I'd like to turn to our revenue guidance. Our third quarter revenue guidance is $96 million. This is comparable to last year. As Ron commented, the harsh winter weather of 2014 delayed the start to the decking season, which resulted in a shift of the sales into the third quarter of 2014. This guidance puts us on a trailing 12 months through third quarter of 2015 at $428 million or 12% above last year's comparable 12-month period. We continue to see notable market share growth in 2015. Operator, we'd now like to open the call up for questions. After which, Ron will provide his closing statement.
Operator: Our first question is from Trey Grooms from Stephens. Please go ahead with your question.
Trey H. Grooms - Stephens, Inc.: Hey. Good morning guys.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Good morning.
James E. Cline - Senior Vice President and Chief Financial Officer: Good morning Trey.
Trey H. Grooms - Stephens, Inc.: Question, I have I guess the first one is how much did the pellets revenue or how much pellets revenue was in the 3Q guide that you guys have given us? Just trying to get a sense for the best way to think about this for the balance of the year and into next year. I mean, I think that all of us were obviously, a little too aggressive in our approach on that as we looked into the third quarter at least. If you could maybe give us a little bit of color on how to think about that?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Well, I'll give you some color to think about that, but I'm not going to give you as much detail as you probably want. It has been our practice that we don't break out sales by product line. What I can tell you is that all four production lines have now been put into service, they are all operational, they all operate as expected. We told you that it would begin to move the needle in the second half of the year, and we stand by that. We've previously given a forecast for – in the out-years. Nothing has changed our view. And everything is running as expected. The number of customers that we're adding and the sales that we're adding are entirely consistent with our expectations. That's about all I can tell you. Jim, you want to add to that?
James E. Cline - Senior Vice President and Chief Financial Officer: Yeah. I think one other comment. Just to give you a little bit of direction is that in the past, the orders for the pellets were viewable basically within the month we shipped. We are now seeing a demand from future periods that will help us plan the production a little bit more effectively. So we're seeing a view from the customers further out than what we had seen in the past.
Trey H. Grooms - Stephens, Inc.: So is it reasonable to think that the 3Q benefit from pellets is going to be significantly different from 2Q, because I know you guys guided to the second half being more meaningful?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: The second half will be more meaningful, yes.
Trey H. Grooms - Stephens, Inc.: Okay. And then – maybe I'll address it this way. I know you guys don't typically guide two quarters out. But I do recall a few years ago when you guys had a tough 3Q. You then – or, excuse, a tough 2Q and 3Q guide. You then came out and gave us some color on how to think about 4Q. So I think you guys do have some level of visibility there given that all the moving pieces that we have here in the back half of this year and the 3Q guide that obviously came in much below what we thought it could be, can you give us any color or any way to think about the 4Q given all these moving pieces in light of this guidance for 3Q?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Well, I can tell you two things. Number one is that we've said that we expect to return to normal seasonality. Number two, this company is growing at a 12% rate. So I think that's plenty of information. We feel – we don't feel – we're not apologizing for our forecast at all. You got to, as I've said over and over and over again, if you're trying to analyze Trex on a quarter-to-quarter basis, it is a seasonal basis and you're in for a world of hurt. We're outpacing the market; the market is growing. We're taking market share. We're running much faster than the rest of the market and I expect us to continue to do that. So I think the company is very healthy. I'm optimistic about the future. I'm optimistic about the progress that we've made. We've got the cash to show for it. That's the important thing and you'll see that by the end of this year. Does that help?
Operator: Our next question is from Alex Rygiel from FBR Capital Markets. Please go ahead with your questions.
Alex J. Rygiel - FBR Capital Markets & Co.: Thank you. Good morning Ron and Jim. Any comments on how the rain in the month of June could have affected the order activity and purchasing activity in the month of July and therefore, affected sort of your third quarter view?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Well, I continue anecdotally, I've spent enough time in the field, the contractors don't work in the rain. They can't build the deck in the mud. So there is some effect, I can't really quantify it but there has been an effect. You want to add to that?
James E. Cline - Senior Vice President and Chief Financial Officer: Yeah. I just say that the impact – and you're talking about primarily I think the Texas/Oklahoma market.
Alex J. Rygiel - FBR Capital Markets & Co.: Exactly.
James E. Cline - Senior Vice President and Chief Financial Officer: The effect on us would be relatively minor and did not significantly impact the quarter.
Alex J. Rygiel - FBR Capital Markets & Co.: And as it relates to the pellets business, over the last year or so, how has the price point of your pellet product fluctuated, if at all, with regards to competing products?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Well, looking at the pellet products, if you go back and look at where virgin polyethylene was at the end of the second quarter, I think it was about $1.09 a pound. And since that time, it dropped down to a low of $0.55, $0.60 a pound, and now I think it's up to about $0.80 a pound. Our price has moved relatively consistent with that change. But quite frankly, we have not been really focused on driving that price up as the market firmed up. We want to get people using these pellets. With only one line in production through a good share of the second quarter this year, we were limited in our ability to supply products, so getting those customers lined up and testing the product and qualifying it was more important than making a couple of extra pennies on it.
Operator: Our next question is from John Baugh from Stifel.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: Good morning. Thanks for taking my questions. I was wondering if you could comment on what decking sales are like in the month of July, and I think you have visibility maybe through the middle of August here. Are they flat year-over-year, or are you anticipating that the way the third quarter played out last year, you had really strong demand in the last five weeks, six weeks of the quarter, and you won't see that this quarter?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Well, decking sales are stronger than they were last year. That's without question. You want to speak to the month-to-month?
James E. Cline - Senior Vice President and Chief Financial Officer: I think we can give you a little bit of guidance on the month-to-month, John. The very difficult comp we had was primarily July. And so if you looked at July, we're relatively flat with July last year. But I think it's important to remember that – and one comment I'll make on July, our inbound orders last year in July were up 44% over the prior year. So relatively flat when you're on top of a 44% increase actually is not too bad. I think that as we go through the quarter, we took all of that into consideration. We do have visibility through a week or so in the month of August and that is part of what we utilized in putting the $96 million out there.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: Great. Thanks. And then, receivables, I don't think your pre-buy was any different this year, correct me if I'm wrong. Would it have been an anomaly of timing that explained the increase in receivables, which is a little bit higher than normal or is there something else going on?
James E. Cline - Senior Vice President and Chief Financial Officer: It's just a minor timing difference is all it is.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: Okay.
James E. Cline - Senior Vice President and Chief Financial Officer: So we expect to be debt free soon. And cash flow and the use of cash is going to become an increasingly important thing for us to consider.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: And any update on warranty claims, cash payments on the claims that you settled?
James E. Cline - Senior Vice President and Chief Financial Officer: No. No update. No change to the reserve is necessary.
Operator: Our next question comes from Keith Hughes from SunTrust. Please go ahead with your questions.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thank you. Looking at – based on your revenue guidance for the third quarter, what will production rates look like in the third versus prior year? It will be up, down? Any kind of help would be appreciated.
James E. Cline - Senior Vice President and Chief Financial Officer: Third quarter will be essentially flat to slightly up.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: So given your guidance, it looks like volume will be down in the quarter. Are you going to be building inventory into the second half of the year to prepare for next year? Or what's the plan there?
James E. Cline - Senior Vice President and Chief Financial Officer: We'll take the production down consistent with demand and then ramp up probably in the fourth quarter. We still have dramatic available capacity throughout the year. So we can do a little bit better job of driving the demand a little bit closer to – or production a little bit closer to when we have the actual demand.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: And the accounts receivable number was up pretty substantially year-over-year. Anything unusual going on there?
James E. Cline - Senior Vice President and Chief Financial Officer: No. It's really just a timing issue. That's where the cash will be generated in the third quarter basically.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay. Final question. The comps as you go through August, September, you talked about the hard July. Do they get easier as the quarter progresses?
James E. Cline - Senior Vice President and Chief Financial Officer: They do.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Do they turn – I mean, are they down to single digits, or how much easier do they get?
James E. Cline - Senior Vice President and Chief Financial Officer: Well, they certainly get easier. I don't think we want to start getting into monthly details across the whole quarter. Certainly, they were not in the 40% range. They were well below that.
Operator: Our next question comes from Al Kaschalk from Wedbush Securities. Please go ahead with your question.
Al Kaschalk - Wedbush Securities, Inc.: Good morning guys. Just a follow-up on the receivable question. Have you collected the majority of that here in the first month of the third quarter?
James E. Cline - Senior Vice President and Chief Financial Officer: Yeah. A large portion of it, not all of it was due, so there is essentially no past due balance.
Al Kaschalk - Wedbush Securities, Inc.: Second, was there some large orders, particularly I'm thinking out loud about international that have been completed and roll off going forward here?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: We had a large order last year in Q2.
James E. Cline - Senior Vice President and Chief Financial Officer: Q2.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Q2 that we finished all at once. It was a big slug. So it was a spike in international sales in last year's Q2. And now, we're achieving a more stabled demand flow.
Operator: Our next question comes from Matt McCall from BB&T Capital Markets. Please go ahead with your questions.
Matthew Scott McCall - BB&T Capital Markets: Thank you. Good morning everybody.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Good morning.
James E. Cline - Senior Vice President and Chief Financial Officer: Good morning.
Matthew Scott McCall - BB&T Capital Markets: So, Ron, you talked about – you said a couple of things about growth. You said that company is growing 12%. I think you said in the quarter though, volume was at 8%. Can you talk about the impact of price versus mix in Q2 and how we should maybe think about that going forward with respect to that 12% growth rate you cited.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: We're having a little trouble hearing you. I'm going to let my colleague take a bite at this.
James E. Cline - Senior Vice President and Chief Financial Officer: Yeah, Matt. The combination of the mix and price increase certainly impacted the quarter by roughly 4%. The largest portion of that was related to mix. You probably would have realized a point and a half maybe from price and that was the part that I could hear. I couldn't hear the rest of the question.
Matthew Scott McCall - BB&T Capital Markets: I'm sorry. That basically hit it.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Let me just add one...
Matthew Scott McCall - BB&T Capital Markets: Sure.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: A little more specific. Our sales volume growth in linear feet, on a year-to-date basis, is up 12%.
Matthew Scott McCall - BB&T Capital Markets: Got it. Okay. And then, the – maybe some help on gross margins. You talk about flat production rate. You've got the impacts of the new line. I know you've talked about an incremental gross margin in the past. Is that still a good guide as we look at the back half of the year?
James E. Cline - Senior Vice President and Chief Financial Officer: Yeah. I think, as I've stated before, the average margin that we've guided to is then 45%. And so what we would expect is that there, the quarters of lower production you're going to see that gravitate below the 45%. And in those quarters where you move above that, you ought to see in excess of 45%. Of course, first two quarters, we averaged, I think, it was 49%, so we will have a quarter where it's going to come below that number.
Operator: Our next question comes from Jim Barrett from C. L. King & Associates. Please go ahead with your question.
Jim R. Barrett - C.L. King & Associates, Inc.: Good morning everyone.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Good morning.
James E. Cline - Senior Vice President and Chief Financial Officer: Good morning.
Jim R. Barrett - C.L. King & Associates, Inc.: Ron, I heard your comment. It's good to hear the pellet business is on track, near and long-term, in terms of your prior guidance there. Can you tell us whether the company is still on track from a margin perspective for that business? I recall the expectation is that the margins would be comparable to decking?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: It is on track. Now remember, when we talked about margins, we said that gross margins will be a little bit less but operating margins will be the same because there are virtually no SG&A in this business.
Jim R. Barrett - C.L. King & Associates, Inc.: Right. Okay. Understood. And then secondly, can you tell us whether there has been any recent mid-season price increases in decking or is that simply not going to happen this year?
James E. Cline - Senior Vice President and Chief Financial Officer: Yeah. There has been no announcement of any price increases to-date. We historically have those conversations with our distributors then our dealers before we put anything into the stream of commerce publicly.
Operator: Our next question comes from Morris Ajzenman from Griffin Securities. Please go ahead with your question.
Morris B. Ajzenman - Griffin Securities, Inc.: Hey guys.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Hi Morris.
James E. Cline - Senior Vice President and Chief Financial Officer: Hi Morris.
Morris B. Ajzenman - Griffin Securities, Inc.: Questions pretty well picked over at this point but just a follow-up. You talked about continuing market share growth as the year progresses. Do you want to put any numbers on that, give us some sort of feel and then just some sort of comment on what's happening on the competitive landscape, the composites with the plays out there, your positioning with them, et cetera, et cetera?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Our market share is somewhere north of 40%. When I took this job it was about 30%. Our target is 50%. What's more important is, what's going on is that composites are taking share from wood. So the category is taking share and we're growing within the category.
James E. Cline - Senior Vice President and Chief Financial Officer: Yeah Morris. Just to give you a little bit of color. Our view on the market is that the composite market is growing somewhere mid- to low-single digit. So at a 12% growth, obviously, that's got to be coming from some of the competitors.
Morris B. Ajzenman - Griffin Securities, Inc.: Thank you.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: You're welcome.
Operator: Our next question comes from Keith Hughes from SunTrust. Please go ahead with your questions.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Yeah. First, just to say thank you to you Ron, for just a tremendous run at this company since you came back in, in 2008.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Thank you.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: My question on the plastics business, is third quarter going to be the first quarter where you're running full capacity on all three lines that you've installed?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: We're not going to talk by quarter-by-quarter and machine-by-machine. I can tell you that we expected to begin to move the needle within the second half of the year. So far, in Q2, the sales were immaterial in Q2. Are you still there?
Keith Hughes - SunTrust Robinson Humphrey, Inc.: I'm here, yes.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Okay. We heard some funny noises. So I can just tell you in broad terms, our sales are exactly where we expect them to be. We're expecting them to start moving the needle in the second half of the year. All four machines are installed, and they all work.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Thank you.
Operator: Our next question comes from Al Kaschalk from Wedbush Securities.
Al Kaschalk - Wedbush Securities, Inc.: Ron, you used a word that I haven't heard in a while, or a phrase, "normal seasonality" that the business is getting back to. We've got a market growing mid-single, or low- to mid-single digits. You're taking share. So as we look out, is there any detraction from a upper mid-single digit growth rate in terms of the top-line for the decking business?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: You mean, our sales or for the marketplace?
Al Kaschalk - Wedbush Securities, Inc.: Well, obviously, I'd like to focus on yours. So if you could add any color on that? Again, I was troubled by the phrase "normal seasonality," since we haven't really had that in the last three years.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: I'd refer you to the third quarter. I mean, typically if you look back over the last several years, there is a seasonality to the business, the first and second quarters – usually the majority of our sales are in the first half of the year and a lesser amount's in the second half of the year. There'll be some flip-flop between Q1 and Q2. And Q4 is usually the lowest quarter we've got. We expect to return to that seasonality, but we do note, as I said, that on a year-to-date basis we're growing at 12% per year. I'm not going to comment as to whether that's a growth rate for the future. But I think if you look to the past performance of this company over the last two or three years, the rate of growth, it far exceeds the growth in the market or the rate of inflation. So we're quite proud of the growth that Trex has experienced, and we're optimistic about the future. That's about as close as I'm going to get to a more finite forecast for Q4.
Al Kaschalk - Wedbush Securities, Inc.: That's helpful. On the specialty materials side, could you talk about whether the number of customers that have qualified has increased relative to your expectation? Or is it just the customers you had in your target sight have now been qualified?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: No. We're beginning to develop new customers and I've got firm orders from new customers that we didn't have one quarter ago. And I think I'm more optimistic about that than I am about anything else. This new vent (31:50) we've got – and I don't want to focus just on pellets. Pellets is the only one that we've announced. We've got other projects in the pipeline that are equally or more exciting than pellets. But the point is that every time Trex announces under this administration that we're going to have a new product that's going to break a new technology and it's going to increase shareholder value, it's been true. We've done it with Transcend, we're doing it with pellets. We're going to continue to do it with pellets. We've got more than that behind that in the pipeline. Trex has become a technological powerhouse in our view and is going to be bringing some exciting things to the table. When we're ready to talk about them, we will. That includes things we're doing within decking and railing and things unrelated to decking and railing and unrelated to pellets.
Al Kaschalk - Wedbush Securities, Inc.: Okay. And will those all use the same production lines?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: No, they will not. In fact, as I mentioned in a previous phone call, we bought land and we're going to need it.
Al Kaschalk - Wedbush Securities, Inc.: Thank you.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Thank you.
Operator: Our next question comes from Kenneth Smith from Lenox Equity Research. Please go ahead with your questions.
Kenneth Smith - Lenox Equity Research: Hi. Good morning. I wanted to ask you about the new products you've alluded to there. Could any of these be coming on so they could be a factor for next year, both in decking and the pellets business?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Some of them could be. Some will, some won't.
Kenneth Smith - Lenox Equity Research: I guess we might hear about that in the fall?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: There are two things that come into play. One is the extraordinary amount of testing that has to be done, you can only hurry up the process so much. Trex, as you know, is acutely aware of its responsibilities with respect to quality and the testing can only be driven so fast. And the second reason is, it's although something maybe ready in a couple of months. If you miss the distributor meeting, in October, you've got to wait a whole another year. So if you miss it, if the product is declared to be ready, and it's not ready until one month after the distributor meeting, it's sort of tough to wait a whole another year. So those are the two critical factors. Now the things in development, that are outside of decking and railing, of course are not subject to the distributor meeting. So they may be coming on more quickly.
Kenneth Smith - Lenox Equity Research: Okay. Thank you.
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Thank you.
Operator: And currently we have no further questions at this time. Mr. Kaplan, do you have any closing remarks?
Ronald W. Kaplan - Chairman, President and Chief Executive Officer: Yes, I do. As you know, I am retiring this month and today marks my last conference call for Trex. I will retain my role as Chairman of the board and look forward to contributing to Trex's success in that role. I couldn't be more proud of the accomplishments made at Trex during my tenure. It's been a heck of a run. And could not have been achieved without the contributions of all my Trex colleagues. They are the most ambitious, brave and dedicated group I've ever had the pleasure of leading. There is a tremendous amount of talent in this organization. I'll pass the torch to my longtime colleague and Trex CFO, Jim Cline. Bryan Fairbanks, an 11-year Trex veteran, will take the helm of CFO. I have full confidence that moving forward, the Trex executive team will provide continuity in our strategy and there is no doubt that all members of the Trex Company will demonstrate the same passion for performance and results that has been displayed for the past seven-and-a-half years. I am very optimistic about the company's future prospects. The leadership team will continue fostering the key pillars of success that fuel Trex's phenomenal performance over the last several years. The power of the Trex brand, our continually improving product lineup and unparalleled distribution network, our low-cost manufacturing position and monetizing new opportunities to our recycling and extrusion aptitude with a focus on market share expansion, including composites gaining share from wood, continued international expansion and further technical breakthroughs leading the product line extensions and entries into new industries, I believe the trajectory of value creation will continue. It's been a pleasure working with all of you in the investment community. I've enjoyed getting to meet and know those of you who own, follow and cover Trex. So thanks, good luck and stay tuned for what will no doubt be continued exceptional progress at Trex. Thank you and good-bye.